Operator: Hello, and thank you for standing by. My name is Bella, and I will be your conference operator today. At this time, I would like to welcome everyone to VF Corporation's Third Quarter Fiscal Year 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background nose. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Allegra Perry, Vice President, Investor Relations. Please go ahead.
Allegra Perry: Hello, and welcome to VF Corporation's third quarter fiscal 2025 conference call. Participants on today's call will make forward-looking statements. These statements are based on current expectations and are subject to uncertainties that could cause actual results to differ materially. These uncertainties are detailed in documents that are filed regularly with the SEC. Unless otherwise noted, amounts referred to on today's call will be on an adjusted constant dollar and continuing operations basis, which we've defined in the presentation that was posted this morning on our Investor Relations website and which we use as lead numbers in our discussion because we believe they more accurately represent the true operational performance and underlying results of our business. You may also hear us refer to reported amounts, which are in accordance with U.S. GAAP. Reconciliations of GAAP measures to adjusted amounts can be found in the supplemental financial tables included in the presentation, which identify and quantify all excluded items and provide management's view of why this information is useful to investors. Joining me on the call will be VF's President and Chief Executive Officer, Bracken Darrell; and EVP and Chief Financial Officer, Paul Vogel. Following our prepared remarks, we'll open the call for questions. I'll now hand over to Bracken.
Bracken Darrell: Thank you, Allegra. Hello, everyone, and thank you for joining us today. As I open this call, you can see it was a good Q3. What I'm most excited about is what you really can't see yet. Our transformation is well underway, and Q3 was an excellent quarter of progress across our business inside the company. We're systematically making -- remaking the company for long-term value creation, double-digit operating margins, and strong and sustained growth. We showed you in October, nine work streams that will essentially bring us to best-of-breed processes. And you know we have -- we've reset the entire leadership team. But you not -- might not be aware that we're now resetting the rest of the organization beneath those leaders. So between the work streams we spoke about in October and the organization changes I'm explaining here, we're building new structures and processes to be more effective, more efficient and in the end, more creative, it's not just about saving money. It's about -- in the end, we will be a reinvented company, better positioned to deliver strong and sustainable returns for investors. If I sound energized by this, it's because I am. This is going to create strong value, great products, elevated brands and a place to grow and learn for our people. Now enough about what's going on inside the company. Let's talk about what we just reported. Q3 was stronger than we expected. We grew revenue 2%, while we significantly improved profitability. The key point to make here is that the actions we've taken during our -- we've taken so far are delivering results. Now let me call some important features of the quarter. Virtually every brand was stronger this quarter than last quarter. The North Face and Timberland both grew. Vans delivered another quarter of sequential improvement in trend. Regionally, the Americas delivered another strong quarter of improvement, going positive for the first-time in over two years. Our wholesale channel was positive on a global basis. DTC showed progressive improvement again this quarter globally. Gross margins were up 150 basis points and operating margins were up 360 basis points to over 11% and net debt was down nearly $2 billion. None of these were a surprise to us, but it's a quarter of measurable progress across the board. Now to really understand our trend line, you look at our Q3 and Q4 together. While the Q3 results are better than expected, somewhat benefited this quarter's outsized wholesale performance, due to stronger reorders, lower cancellations and orders pulled forward by our retail customers into Q3 from Q4. Regardless, we feel really good about the underlying performance for the second half of the year. Now let me give you an update on Reinvent. As I indicated in our Q2 earnings, Investor Day Part 1, and the start of this call today, we're making strong progress on our transformation program. You'll recall, we have four stated priorities. First, lower our cost base. We're on track to deliver the initial $300 million in gross cost savings with another $55 million generated during Q3. Remember, this is the $300 million we said would be fully actioned by the end of last quarter, so Q2, and fully reflected in the P&L by the end of this coming quarter, so Q4, by the end of the fiscal year, as we promised. The work is complete. The cost reduction is showing up and all $300 million will be in the run rate as we exit fiscal '25 as planned. On top of that, you've heard Paul and me say, we have no intention of stopping here. As of our October Investor Day, why we said that, because we were, in fact, already working on process and organizational changes as I referenced earlier in the call, that will contribute to unlocking another $500 million to $600 million in operating income expansion, half of that in SG&A. That's part of our approach to delivering our medium-term operating margin target in fiscal year 2028 of at least 10% before any growth. So far, so good. Everything is on track. Let me underline a point that might already be obvious to you by now. While the cost side of these work streams will help us return to sustained double-digit profitability, this work is even more important than the bottom line impact it will deliver. These actions are absolutely instrumental towards enabling growth. They form part of a comprehensive plan to enable the company to be more creative and more powerful in product creation and marketing. These projects enable this creativity through better consumer insight and targeting, as well as the standardization of all the processes we can to best-in-class levels to enable higher impact from good ideas in both revenue and profitability. We also continue to reinvest some of those savings back into product creation and brand building. You'll hear more about these areas at our upcoming Investor Day, Part 2. More on that later. The second priority is to strengthen our balance sheet. We made big progress during the quarter with a reduction of net debt of almost $2 billion versus this time last year. Just to reemphasize that, we have reduced the net debt, not including lease obligations, which are required from an accounting standpoint to be included, when we call it net debt. So excluding those lease obligations, we've reduced the net debt by almost 40% in the last year alone. So we're demonstrating our commitment to move our leverage ratio down to three ways. First, we divested non-strategic assets, planes (ph), buildings and, of course, Supreme. Second, we reduced our working capital primarily by cleaning up our inventory and making it fresh. And finally, and most importantly, we're improving our operating earnings. You now see how effective this triple threat approach can be to rapidly dropping our leverage levels. There's more to do, but we are squarely on track to continue to delever the balance sheet to get to our 2.5 medium leverage -- medium-term leverage target. Our third priority was to fix the U.S. As you know, we adopted our global commercial model in the Americas a year or so ago, is try to bring its performance up toward the other regions' historical performance levels, and it's working. Our Americas business improved again relative to last quarter with revenue up 2% in Q3 versus down 9% in Q2, that's the first quarter of growth in over two years. It's early days. So we may not see growth every quarter as turnarounds often aren't linear, but it's good to see green numbers again. And we have a lot, and I do mean a lot of improvement ahead of our Americas business. Finally, deliver the Vans turnaround. The brand's overall performance in Q3 was down 8%, a further improvement compared to last quarter, down 11%. I feel very good about the steps we're taking, but sustained turnarounds take time. Underneath the numbers, I want to call out a few things, primarily in our key focus areas of product and marketing. New products continue to outperform our big established franchises. Knu Skool remained the number one growth driver and the number two franchise globally and is in line with our strategy to win, with youth and women. We won't rely on just one style to build our business in the future, and we have momentum in our newest styles, both Hylane and Upland. In many ways, the Vans brand continues to have enormous potential. It was recently named the number three most authentic brand from the Authenticity 500 Index, as the ranking of the world's most authentic brands. This -- the message here is that we have a lot of growth potential as we keep improving our execution. Brand elevation is also a fertile ground for Vans, as evidenced by exceptionally strong sell-out for our OTW holiday collaborations including the Satoshi partnership, HommeGirls collaboration [indiscernible] and those two last ones are targeted at women. The new Americas regional platform is also starting to deliver. For the holiday period our U.S. non-value channel footwear generated strong positive sellout year-over-year for the first-time since February of 2022, led by our largest accounts. We are making progress and are more confident than ever of the brand's growth potential. We have a lot of pistons to fire on advance, product, marketing, distribution, brand elevation and more, and we're putting each one in place. I couldn't be more excited about the initial work done by Sun at Vans, and you'll hear more about it directly from her in just a few weeks. Now let's turn to the North Face, where revenue in Q3 was up 5% versus last year and positive in each region with even stronger performance in DTC. We're pushing the boundaries with our marketing and our brand building. Notably, the North Face, SKIMS collaboration set a new bar for global collaborations, execution and impact and was one of the fastest selling collections in the history of North Face. We were also thrilled to see our product teams being recognized with multiple awards for design and innovation across footwear and apparel. The North Face core underlying brand history is oversized relative to the size of this business, in my opinion, and I love that position. It means growth is ahead. You'll hear more about the plans for North Face directly from the brand President, Caroline Brown at the Investor Day. Finally, I'll say just a few words about Timberland. The brand was also positive for the quarter with revenue up 12% versus last year. Performance was driven by core strength across regions, supported by the iconic campaign launched in September. Nina Flood is our new Timberland brand President there, and she'll give you more color on our plans at the next Investor Day. Now looking ahead. The second half of this year is expected to be broadly in line with our expectations. As I said earlier, we did a little better in Q3 driven by the stronger than expected DTC and outsized wholesale performance, and expect the Q4 trend to be a little lower relative to Q3. Turnarounds are not linear. For fiscal year '26, the first half of next year could look similar to the second half of this one, as we report more of our game plan in place. And overall, we feel terrific about the progress we're making. Now I want to say a few words about that Investor Day that I've mentioned several times. Now at Part 1 back in October 2024, we unveiled our corporate strategy, showing you how we are rebuilding the company from the ground up. You heard about our focus on cost and creating a solid P&L structure, that's only the start of what we're doing to transform VF. The best is yet to come. And in fact, we're coming back on March 6, mark that in your calendars with Part 2 here in New York, which is focused on brand strategy, where you'll get to hear directly from our brand presidents. Of course, they're still relatively new to our business in their roles, but I can't wait for you to meet them. This really is the most exciting part of our transformation and you'll hear about it in our plans for growth. As you've heard me say before, we're all here, and it's all about growth in the long-term. I'm now going to hand over to Paul, who is sitting in front of me, wearing a Philadelphia Eagles jersey, shoulder pads and helmet, and Vans cleats, which we don't actually sell publicly, he had them made. You may know, Paul is quite an Eagles fan, and they are going to the Super Bowl. And he'll take you through the financials in more detail, and I'll come back to the end for closing remarks. Paul?
Paul Vogel: All right. Thanks, Bracken. Go birds. As Bracken mentioned, Q3 was another quarter of progress in achieving our key priorities. Turning to the financials in Q3. The quarter delivered further sequential improvement with revenue coming in better than our guidance and with strong profitability. We saw better overall performance in Q3 led by a number of factors, some of which may impact Q4. Looking at both Q3 and Q4 together, we are right on track with where we thought we'd be. Previously, we had said that every quarter of the year, we chose sequential improvement. However, given the strength in Q3, the balance has changed. Second half of the year is performing in-line with our expectations and will show meaningful improvement over the first half of the year. So while we no longer expect Q4 growth to be higher than Q3, the second half growth and overall trends are improving as planned. So what has changed? First, DTC was better than expected in Q3. We had a good holiday season, which was particularly stronger in North Face and Timberland. Second, we saw outsized wholesale performance due to additional reorders, lower cancellations and a favorable shift to deliveries into Q3 from Q4, a portion of which came from partners taking on inventory sooner than expected ahead of an earlier Lunar New Year. Third, on reported revenue, FX headwinds were less than forecasted. As a reminder, we had anticipated a 100 basis points negative impact in the quarter, which did not occur. And fourth, on costs, we're starting to see the impact from some of our newer initiatives, which positively benefited distribution and IT costs. Now let's go through the P&L. Q3 revenue was up 2% versus last year. This marked the fourth consecutive quarter of sequential improvement in revenue. By brand, the North Face is up 5%. Momentum in Greater China remained strong, while the Americas had a better performance over the holiday period. Vans was down 8%, improving from down 11% in Q2. The actions taken last year to clean up our inventory are continuing to deliver benefits, especially, on profitability as we right-size the brand's cost structure. Timberland was up 12%, improving from down 3% in Q2. We saw broad-based growth across regions driven by continued strong momentum in premium boots. Finally, to finish off the top four brands, Dickies was down 10%, a slight improvement from down 11% in Q2. Moving to the regions. All three were positive in the quarter. The Americas was up 2%, EMEA was up 1%, and APAC was up 5%. And turning to channel, we improved sequentially in both DTC and in wholesale. DTC was down 2%, while wholesale was up 8%. And on gross margin, as expected, we were up 150 basis points versus last year to 56.3%. This was due to lower product costs and fewer promotions. SG&A dollars were down 3%. We leveraged SG&A by 210 basis points to 44.9% of sales. We are on track to deliver the $300 million run rate of initial gross reinvest cost savings with $55 million of savings generated in the quarter. This led to an operating margin of 11.4%, up 360 basis points versus last year. Adjusted operating income was up 49% versus last year to $324 million. Diluted earnings per share -- adjusted diluted per share of $0.62 versus $0.45 last year. Turning to the balance sheet. We continue to make good progress on inventories as we ended Q3 down 14% versus last year. And as we said at the time of our Q2 earnings, we completed the sale of Supreme at the beginning of October and paid down the $1 billion term loan. And as a result, as Bracken mentioned, net debt was down $1.9 billion versus last year, and we are on track towards our medium-term leverage target of 2.5 times that we shared at our most recent Investor Day. Now moving on to guidance for Q4. For revenue, we expect Q4 to be down 4% to 6% on a reported dollar basis. We are modeling FX to have approximately a negative 200 basis point impact on our reported growth rates. So on a constant dollar basis, which is the true underlying trend in the business, we are forecasting down 2% to 4%. And if you put Q3 and Q4 together and look at the second half as a whole versus last year, revenue would be flat to down 1% on a constant dollar basis. This represents a progression in trend versus Q1 and Q2 and is right in-line with our expectations. Moving down the P&L. We expect Q4 operating income to be in the range of breakeven to a loss of $30 million, with gross margin continuing to benefit from lower product costs and fewer promotions and fewer reserves. SG&A dollars are expected to be up slightly versus last year, due to increased investment in marketing and product in Q4. For the full year, we are raising our free cash flow guidance to $440 million with both better underlying fundamentals and higher asset sales contributing to the improvement. So in summary, we continue to make great progress on our key financial priorities and our turnaround plan. I will now turn it back to the operator for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Michael Binetti with Evercore. Please go ahead.
Bracken Darrell: Okay. Go Michael.
Michael Binetti: Well, congrats on the Eagles. Congrats on Eagles, Paul. Glad to hear you excited. Just a quick one on how we're looking at the -- I'm happy to hear you're wearing cleats during an earnings call. Just a quick one on [Multiple Speakers]. Can you just talk -- it sounds like there's a little bit of a shift into third quarter out of fourth quarter and when we look at the revenues, how material is that or just a bigger picture, some high-level thoughts on what you've been -- where we'll see the deceleration. Just the broad brush strokes, regions, channels, the brands where we'll see the deceleration in 4Q, help us think about that? And then I guess, more importantly, longer term, with Vans being such a big swing factor and stabilizing the revenue and margin trajectory here. Talk about what we're going to see as we build to key moments like Sun and her team's first line. It seems like back-to-school is probably when that starts to come together. And as you focus on shifting from the good defense you've taken here in the cleanup effort to offense. What have you shown to your retail partners already? What kind of feedback is good or bad are you getting as we start to pivot Vans back to what you've been talking about for a while, your long-term growth?
Bracken Darrell: Paul will take the first one, then I will...
Paul Vogel: Okay. Yeah. So on the Q3, Q4, I would say a couple of things. One, if you think about the outperformance in Q3, it was split between wholesale and DTC wholesale is probably a little bit bigger portion than DTC, so on the wholesale side, it was a mix. I'd say probably part of it, maybe half of it was related to some of the pull forward I mentioned with respect to Lunar New Year and some of our partners taking deliveries earlier, and some of it was just reorders based on the stronger performance in the holiday season, so that was the wholesale side. So some of that will -- the wholesale in Q4, and then DTC just performed stronger, and right now, we're not necessarily anticipating that similar strength in Q4. It did outperform. So we don't have that same level of outperformance in Q4 that we saw on the DTC side in Q3.
Bracken Darrell: I just want to add one thing on Vans in particular, when you think about -- and this isn't really Q3 or Q4. But I'll start with maybe a prelude to the answer to your question. We've got a lot of moving parts underneath Vans in the marketplace. We've got -- we've closed, I think, 9% of our total doors globally in our DTC channel. We've closed about -- sorry, we closed 14% of our own stores. I think we closed about 9% of the stores of wholesale in the U.S. alone. We've also added stores. So that's a net number. So there's a lot of moving parts underneath that to really reset our business from a commercial perspective to be in a great place as new products flow through there. Now you asked when will we start to see what Sun's working on. She'll give you a little glimpse and we're going to give you a little glimpse of a few things we're working on now at the Investor Day. I've told her, and I'm telling you, I'm going to keep the expectations low for Van as long as possible because I want to give her plenty of room to operate. She is a real operator. She is deep in the middle of stuff. You'll probably see a few things, she's touched back-to-school, even more in holiday and as you go into next year even more and more, but it's going to take time. As you know, the product development cycles for this business are longer than they should be. We're not going to fix that right away, but we're also working that in the background. So stay tuned, but I feel super good about where we're going with Vans. Next question. Thank you, Michael.
Operator: Your next question comes from the line of Matthew Boss with JPMorgan. Please go ahead.
Bracken Darrell: Hey, Matthew.
Matthew Boss: Great. Thanks. Hey. So maybe a two part question.
Bracken Darrell: Sure.
Matthew Boss: On the top line, could you speak to recent wins at Timberland progress you're seeing at North Face maybe relative to some of the softer trends at Dickies. And then just on the overall progression, if we took a step back, maybe could you just elaborate on comments I think you made around the front half of '26 looking similar to the back half of '25? .
Bracken Darrell: Yeah, absolutely. So Timberland -- Timberland, there's just a lot of excitement. I think you probably can -- I don't know if you follow us close enough and many of you do, you probably can see it. We've done some -- really the Timberland -- I would say, Timberland brand building activity started the year -- the first year I got here with the anniversary of the famous yellow boot and it's coinciding with hip-hop. And we quietly, although, in a very cool way, did a bunch of cool stuff that year, some cool collaborations. We created a movie. But nobody really heard it, but I would say some of the key players in the influencer would heard it, and picked up steam, and kept picking up steam right through the year, and then we did the Louis Vuitton collaboration and Bottega Veneta just most recently. And so there's just a lot of good momentum there. And the whole game plan there is obviously get as much you can out of this yellow boot franchise but also expand and roll through with other franchises. And contrary to which you might not think -- might think the yellow boot is not 70% of our business. It's -- and it will probably be smaller and smaller over time as we move into other things. So Nina will go through that, but I feel really excited about where we're going with Timberland, but there's a lot of room to work there and a lot of places to go. On T&F, I think the T&F story has not really changed much. I think we have a great team in there, and that team is led by Caroline, who's done a fantastic job. We're probably texting back 4 times, 5 times a day. And I’m -- because she's excited about what she's doing about what they're doing. So you'll hear more from her, I will not steal any of her thunder, except to say, I'm really pumped about what she and all the brand presidents did. Dickies, so Dickies’ a deep turnaround. It's a small business for us. It's got -- maybe relative to its size, it might be the smallest in revenue. In other words, there's more potential there than, in some ways, may be any other brand we have, although, they all have a lot of potential. But Dickies really has a lot, but it's a deep turnaround, and we're -- you're just going to be patient with us on that one. I feel really good about the leader we've put in place there. We announced that we're moving the business just to make it harder on us if we move into business to California but there are good reasons do that. We're going to get -- we're going to have a campus really in California now for that business advance. So feel good about it. You asked about the – my reference to first half could look kind of like the back half of this year. I think that's really just an attempt to say, we're not really trying to give you a strong growth forecast into next year at this point. We're -- it's too early for that. We'll give you in Q4. What we are saying is, keep an eye on the profitability. We’re going to absolutely improve that. You’re going to see it systematically improve while we’re rebuilding a lot of things in the company to drive long-term growth. When will that growth come, we’re not ready to say yet. So we’re just trying to really dampen expectations.
Matthew Boss: Great. Best of luck.
Bracken Darrell: Thank you.
Operator: Your next question comes from the line of James Duffy with Stifel. Please go ahead.
Bracken Darrell: Hello, James. Maybe I can make up a question.
Operator: Mr. Duffy, your line is now open.
Bracken Darrell: Hi, Jim. We can’t hear you?
James Duffy: Sorry. I had you on mute.
Bracken Darrell: No problem.
James Duffy: Great to hear for you guys, really great results from the North Face and Timberland. I'm curious if you have the inventory to participate in some of the demand you might be seeing here in January. And then, also hoping you can share some perspective on what those results might mean for forward orders as we look to fall holiday 2025? Thanks.
Bracken Darrell: That's a clever way to ask that question. There's always -- you always got -- in our case, I think we've done a good job bringing our inventory levels down, and our inventory is pretty fresh. You never have exactly what you need everywhere, so we don't, but look, we're -- our supply chain is working pretty effectively. It can work a lot better, by the way, over time. But I'd say so far, so good. You want to add anything to that, Paul?
Paul Vogel: No. I think a lot of the initiatives we talked about the Investor Day…
Bracken Darrell: You might need to pull your helmet up a little bit.
Paul Vogel: In terms of the integrated plane stuff, I think that will also help us sort of make sure inventory is in the right place moving forward. So we're getting there.
James Duffy: Is there anything you guys can share on discussions with wholesale customers and what that looks like for the order book into fall next year?
Bracken Darrell: I don't think we have too much to say about going into fall next year. But I would say the spring order book was -- I think we've said before is light. And we knew that beforehand, and it's kind of a reflection of the past and kind of the general sentiment, especially in the U.S. on that. But I'm not worried about that at all. I really feel good about the product portfolio we're bringing out – the cool thing for those of you who've been in our business for a long time, you get to look at three seasons out all the time. So I really feel good about the products we have coming out season by season by season across our brands. And I think you'll see that as we get together. We'll give a little bit of a glimpse of some of this when we get together at the Investor Day, but you'll see more of it as it starts to unfold. But yeah, no, I think so far, everything is really on track from a product development stand as we go forward, and you’ll see us continue to ramp that end marketing.
James Duffy: Very good. Thank you very much.
Bracken Darrell: Thanks, Jim.
Operator: Your next question comes from the line of Lorraine Hutchinson with Bank of America. Please go ahead.
Bracken Darrell: Hello, Lorraine.
Lorraine Hutchinson: Thanks. Good morning, everybody. Good morning. Bracken you talked about Vans U.S. non-value channel sell-out positive. I was just curious what's the mix of the value channel for Vans? How important is that in your go-forward plan? And then can you talk about the health of the inventory in the channel across value and non-value?
Bracken Darrell: Yeah. The health of the inventory looks good. Vans will always have a value channel component. So I don't want you to step off this call thinking that value channel is 10%. It's only for selling-off product that didn't sell in our non-value channels. So it's not, it's probably a third of our business. It will stay about there. And it's -- as I said, the health of the inventory looks really good. Now we brought that down. It was probably up to over half of the business at one point.
Lorraine Hutchinson: And you think a third is the kind of the go-forward ratio that you would expect?
Bracken Darrell: I think so. It could drift lower than that over time. I don't -- I'm not afraid of the value channel. There's -- I think you could tend to think the value channel is just discount, discount, discount. Actually, the profitability of the value channel can be very good. It's -- what we want to make sure we're serving. The cool thing about Vans is, it does sort of a very broad consumer base, and we wanted to. So we want to be where our customers really want to shop and the value channel is definitely part of that. But yeah, I would guess that the non-value channel will grow faster over time. As you look -- if you look at this two years from now, three years from now, probably look, but the non-value channel look bigger. We've opened doors in the non-value channel as we've closed doors in the value channel. So we probably added 800 doors in non-value channel, and we've closed 1,800 in the value channel. So we've changed the mix. And I could continue a little bit.
Lorraine Hutchinson: Okay. Thank you.
Bracken Darrell: Thank you.
Operator: Your next question comes from the line of Laurent Vasilescu with BNP Paribas. Please go ahead.
Bracken Darrell: Hello, Laurent.
Laurent Vasilescu: Good morning. Hi, Bracken. How are you? Congrats on the results here.
Bracken Darrell: Thank you.
Laurent Vasilescu: I wanted to ask you -- Bracken, with regards to your comment around the second half. I know it's initial, but it's good to hear that the similar trajectory to the second half of the fiscal year. Is that comment on a constant currency basis or...
Bracken Darrell: Yes.
Laurent Vasilescu: Okay. Just..
Bracken Darrell: Thank you. Laurent, thank you for asking that because by the way, I'll let you finish your question here a minute. But I think we were -- Paul and I were had a discussion yesterday on where to put the emphasis on constant currency reported and it's a regular debate between that goes on and before your report and you set up a standard. We really haven't locked that in yet. But I think constant currency super important here, especially, in an environment where you've got volatile currencies, which we have had over the last -- not wildly violent, but it's a little bit volatile. So we'll try to put more emphasis on that constant currency going forward.
Laurent Vasilescu: Okay. Thank you very much.
Bracken Darrell: Not on profit. By the way, profit will always be reported.
Laurent Vasilescu: Okay. Perfect. Understood. And then Bracken, Paul, I'm trying to understand the slides here on the SG&A dollars guided to be up slightly for 4Q. Is that -- I would assume that's on an adjusted basis? And if that's the case, maybe I'm just modeling this wrong, but that implies 4Q gross margins up significantly higher than what you just posted in 3Q like, up 300 bps, 400 bps. Is that the right way to think about it, Paul? And if that's the case, should we initially think gross margins will be strong in the second half of the calendar year. I think Bracken, you mentioned that profitability will continue to improve into next fiscal year. Thank you very much.
Paul Vogel: Yeah. So I'll take both of those -- on the SG&A and the gross margin. So on the gross margin side, we do expect gross margins to be up. There's a couple of factors that play here. One is, the actions from last year are still benefiting us year-over-year. So that's a part of it. And then secondarily, as kind of equally or maybe not quite equally. But we are benefiting, as we talked about some of the product costs have improved and lower promotions as well. So overall, gross margins sort of organically are heading in the right direction. And then you throw on top of the benefits we have kind of on the comp from last year. On the SG&A side, we’re modeling it up slightly, the two real big factors in that would just be marketing, that’s a little higher in Q4. And then again, we still have one more quarter of the sort of bonus accruals hitting us this year that didn’t really impact us last year.
Laurent Vasilescu: Very clear, Paul. Thank you very much. Best of luck.
Bracken Darrell: Thanks, Laurent.
Operator: Your next question comes from the line of Adrienne Yih with Barclays. Please go ahead.
Bracken Darrell: Hey, Adrienne.
Adrienne Yih: Great. Thank you very much. Hey, congratulations. Great quarter. Nice to see it. So Bracken, my question is going to focus on Vans, that was the only brand that missed sales relative to consensus expectations.
Bracken Darrell: Okay.
Adrienne Yih: You're giving it time, what customer feedback are you getting from the core Vans customer. You're broadening it out to more board and action sports. So just how are you targeting kind of a broader audience? And then when is the right time to put some demand creation investment behind that? And then Paul, I have a quick one for you, which is really, you're taking measures throughout the entire infrastructure of the company. I'm assuming that supply chain is going to be one of them. Can you remind us kind of where your sourcing base Vietnam, China is exposed, and what measures you're taking to speed up and make that supply chain more efficient? Thanks.
Bracken Darrell: Okay. I'm going to dodge your question, not because I don't have an answer, but I'll give you a little bit of one, but -- because I really want to let Sun to answer that. The feedback -- both the feedback from customers as we continue to think about who we're really targeting and also demand creation investment. What I will say is, we're not starving the Vans creation. We are experimenting with what kind of demand creation, where we're spending our money, especially during the holiday period, and we're learning. So I think you'll see us continue to change what we're doing there, although, you can't really probably easily see what we did last quarter, what we did the quarter before that. But suffice to say, we're in deep learning mode, and action mode. So you'll see us keep adjusting what we're doing on Vans from marketing perspective and the target audience piece, I will absolutely refer and let Sun talk in March, but I feel very, very good about the decisions she's made. And as you said, we are going broader into action sports and beyond.
Paul Vogel: Yeah. So on supply chain, I would say, obviously, we're looking at the whole business, we'll look at everything. So nothing to really add there specifically other than we're going to continue to look to become as efficient and best-in-class in everything we do. With respect to kind of the regions, I'm going to read into this a little bit and I think maybe this is around tariffs and those types of things, we have very minimal exposure of things coming out of China, Mexico, Canada, so the impact for us is very, very small.
Adrienne Yih: And then just one clarifying question to the GM. So just to make sure we don't get ahead of skis for first half of next year, the last year, the reset actions were about 200 bps for the organic, would be anything above 200, that said gross margin expansion for the fourth quarter?
Paul Vogel: Yes.
Adrienne Yih: Okay. Thank you very much and really great quarter, great progress.
Bracken Darrell: Thank you very much.
Paul Vogel: Thank you.
Operator: Your next question comes from the line of Brooke Roach with Goldman Sachs. Please go ahead.
Brooke Roach: Good morning and thank you for taking our question.
Bracken Darrell: Thank you, Brooke.
Brooke Roach: Paul, we've seen some outperformance for a couple of quarters in a row on the SG&A line. Can you talk a little bit more about where you're outperforming your own expectations on Reinvent cost savings. And as you bridge from the fourth quarter of this year to your mid-term targets, how are you thinking about the opportunity to flow additional savings to the bottom line near-term versus additional reinvestments in the brands through marketing or other talent investments that you might think are necessary to drive long-term health of the business?
Paul Vogel: Yeah. Sure. So I would say, over the last couple of quarters, a lot of it, honestly, is just in execution, right? So we've had plans in place against Reinvent, you're not always expect to maybe a full 100% of everything you think you're going to get in the quarter. And honestly, the last couple of quarters, we've done really well in terms of hitting all the targets probably at or better than we thought, which is just a testament to the team and how hard they're working in terms of really putting all the Reinvent actions in place. And so honestly, it's nothing more than that, other than just really great execution from the team on the savings side. And then, as we talked about, so all of those that kind of first phase at first $300 million will be fully actionable. We'll have the full run rate by the end of this fiscal year, which will all flow into next year. And then we're starting to see the very early beginnings of the additional benefits we talked about at the Investor Day. So we talked about $500 million to $600 million of incremental operating income benefit, that's kind of spread up a little bit up and down the P&L, not just SG&A, but I assume half that’s SG&A. And we started to see a little bit of that. I wouldn’t expect too much of that in Q4, but we’re starting to see a little bit of that benefit roll through as well.
Brooke Roach: Great. Thanks so much. I’ll pass it on.
Bracken Darrell: Thank you, Brooke.
Operator: Your next question comes from the line of Jay Sole with UBS. Please go ahead.
Jay Sole: Great. Thank you so much. So two questions for me. Number one, can you just talk us through what you're seeing in China. I think you said sales were up 4%. I think it were up 5% year-to-date. And then on the balance sheet, given the progress you made in the quarter, reducing debt. What's the outlook from here? How much of a priority is it now? Is it the same level of priority that it's been or do you feel like maybe free cash can be used for some different purposes going forward? Thank you.
Bracken Darrell: I'll let Paul answer the second one on China. I think we're pricing the same thing everybody else is. The economy itself is pretty soft relative to the past. I mean the good news is, we've got a very strong business, especially in Northeast and China, continue to grow double-digits. So really good, another good performance there. And I have -- as most people here are probably uncertain about what will happen near-term, but really optimistic about the long-term in China. So we're going to keep the pedal to the metal and keep investing there and building business there. You want to answer that first?
Paul Vogel: Yeah. On the free cash flow, our focus will continue to be to pay down debt. It's really to focus one and two in terms of our cash flow. And Brack and I have talked about the -- we have the target of 2.5 times or better, which we put out there. And I think you can assume, unless we were to say otherwise, that our real focus is getting there as fast as we can, and then we'll think about other uses of free cash flow.
Bracken Darrell: Yeah, exactly. We won’t be doing any acquisitions anytime soon. We’ve got so many opportunities to improve this business without doing that then get growth. We don’t need to worry about that for now.
Jay Sole: Got it. Thank you so much.
Bracken Darrell: Thanks, Jay.
Operator: Our last question comes from the line of Bob Drbul with Guggenheim. Please go ahead.
Robert Drbul: Hi. Good morning. Just a couple of questions. The first one is on the wholesale pull forward. Can you quantify the dollar number, the shift from Q4 into Q3?
Bracken Darrell: You want to take that one, Paul.
Paul Vogel: Yeah. I'm not going to quantify it. I will say that of the – I’m really not going to answer your question, but I'll answer as best I can, which is Wholesale was a little bit more of the outperformance than DTC, they both outperformed. And within the wholesale, I'd probably say about half of it, plus or minus was pulled forward and the other half was just better reorders given some of the strength we saw in Q3.
Bracken Darrell: Yeah. I'll give a little more color. Paul is quite nervous to give more color because he and I haven't agreed with how much we're going to say and not say because it's always a little tricky and making sure you have your facts clear. We had reorders, you had better reorders, lowered cancellations, and you have some orders that were pulled forward from last -- the future quarter or this quarter. So there is the combination, then you have cold weather, which drove our DTC business stronger, too. So we're just not going to take all those things to the bank into Q4. And I think that's the right answer. I think none of those are things you can really count on, especially if you understand order flow, we can't count on reorders because the way our seasons work, they work in a two quarter cycle. So the second quarter of our cycle is when you have reorders, so reorders won't happen in Q4. So that number has gone. So it's a little bit noisy, that’s why we're not being a little more specific than that. But bottom line is, I think we've judged this is about right.
Robert Drbul: Got it. And then, Bracken, on Vans, when you look at sort of the regional breakdowns, Vans down 31% in APAC. Can you just comment a bit on that result and sort of what drove that and how you're seeing the business there?
Bracken Darrell: Yeah. I would say Vans came -- Vans got hit a little bit later, maybe fundamentally and then pretty hard. If you look at our Vans business in APAC, I think at its peak, it was $600 million, something like that. So think about how much potential there is there. So we're not chasing anything short-term in Vans right now. And I hope that's obvious to you. It is to me. I just block everything that I hear that sounds like we're trying to do something really short-term, because the potential is so big here, I don't know what our run rate it would be right now in that Q3, but albeit it's $250 or something. So we're down that much in APAC and China, in particular. So -- and part of that is really -- and I mentioned this the last couple of calls, I think really resetting our store footprint there. It's a lot of it is partner stores, so they're not our stores. So there's a lot of work going on there and a lot of work on the team, etc. So I would say just like the rest of the world. But you're right, Vans in APAC is a little bit of a special case that I'm excited about the whole business. I think APAC is a really interesting case where -- how long it will take us to get back to $600 million, we'll see. But I do think China and once you get things right, the growth comes fast. So we don't have things right there yet, obviously, but we will.
Robert Drbul: Great. Thank you.
Bracken Darrell: Thanks, Bob. Well, so like that was the last call, boy, that went fast. I think Paul's just in a hurry to get the Super Bowl pre-party. Let’s start this morning. But thanks to all of you. I just want to -- I want to close out by saying this was a quarter of really strong progress and we're on track with the turnaround. We're on track of this transformation. We're not doing anything short-term here, we aim to really creating a new kind of company that can drive really strong long-term sustainable growth and profitability and top line. We continue to advance all those things we talked about in October. So nothing there has changed. You can just imagine we're now three months further down the road with very aggressive progress and there are other things we're doing that you don't know about yet. And as I mentioned, so we're going to be back in March. You're going to hear from these brand presidents. Each session will be really, really long. So you won't get a deep hardy strategy from each one of them, but you'll get a good feel for what we're doing. And most importantly, you’ll get a good feel for that. And the bottom line is, I'm super excited about this business. It's nice to have a good, strong quarter behind us and, but we're already deeply into the future here. So thanks, everyone. Look forward to talking to you in person during the meetings in between or on the next call a quarter from now. Sorry, I don't know March meeting, which will be in New York. Thanks, everyone.